Presentation:
Operator: Good morning and welcome to the Team third quarter earnings call . (Operator Instructions) I will now turn the call over to Mr. Phil Hawk, CEO.
Phil Hawk: Good morning and welcome to the Team, Inc. web conference call to discuss recent company performance. My name is Phil Hawk. I’m the Chairman and CEO of Team. Joining me again this morning is Mr. Ted Owen, the company’s Senior Vice President, and Chief Financial Officer. The purpose of today’s conference call is to discuss our recently released financial results for the company’s third fiscal quarter ending February 28, 2010. As with past calls our primary objective is to provide our shareholders and potential shareholders with an enhanced understanding of our company’s performance and prospects. This discussion is intended to supplement our quarterly earnings releases; our 8-K, 10-Q and 10-K filings to the SEC as well as our Annual Report. Ted will begin with a review of the financial results and I will then follow Ted with a few additional remarks and observations about our performance and prospects. With that introduction, Ted let me turn it over to you.
Ted Owen: Thank you Phil, first I want to remind everyone listening today that any forward-looking information we discuss is being provided in accordance with the provisions of the Private Securities Litigation Reform Act of 1995. We have made reasonable efforts to ensure that the information, assumptions, and beliefs upon which this forward-looking information is based are current, reasonable, and complete. However, a variety of factors could cause actual results to differ materially from those anticipated in any forward-looking information. A description of those factors is set forth in the last paragraph of our press release and in the company’s SEC filings. Accordingly, there can be no assurance that the forward-looking information discussed today will occur or that our objectives will be achieved. We assume no obligation to publicly update or revise any forward-looking statements made today or any other forward-looking statements made by the company whether as a result of new information, future events or otherwise. Now to the financial results, results for Q3 and the year to date period are impacted by two separate non-routine charges which have been previously disclosed. First is the impact of costs associated with the FCPA investigation, and second is the charge associated with the devaluation of Venezuelan currency. I’ll talk more about each of these charges in just a moment, but my following comments about operating results will be on an adjusted basis, excluding the impact of those non-routine costs. We have included a table in our press release that reconciles reported earnings to adjusted earnings for the quarter and for the year to date period. Revenues for the third quarter were $104 million, which is virtually identical to last year’s quarter. Adjusted net income was $1.2 million for the current quarter versus $2.2 million in last year’s third quarter. Adjusted earnings per diluted share were $0.06 versus $0.11 in last year’s third quarter. Keep in mind though that in last year’s quarter we benefited from a reduced tax provision as a result of a recognition of tax credits totaling $600,000. That caused our tax provision in the prior quarter to be about 6% of pre-tax income rather than the more typical 39% to 40%. Those credits amounted to $0.03 per share in last year’s quarter. The story of the current quarter is really about the continued pressures on margins caused by a weak end market environment. While revenues were flat we lost about a point of margin due to continued pricing pressures which was partially offset by a reduction in SG&A costs. On a year to date basis revenues were $328 million and adjusted earnings were $9.5 million or $0.49 a share. Now let me discuss the two non-routine charges that affect the results for the quarter and the year to date period. First with respect to the FCPA matter, as previously reported our Audit Committee in connection with the SEC and the Department of Justice, has been conducting an independent investigation into improper payments made by employees of our Trinidad TMS subsidiary which may constitute violations of the Foreign Corrupt Practices Act. The independent investigator has delivered the investigation report to the Audit Committee in March of this year, just a couple of weeks ago, and we expect the investigation results to be communicated to the SEC and to the DOJ in our fourth quarter. The investigation concluded that improper payments of a limited size were made to employees of foreign government owned enterprises in Trinidad, but determined that the improper payments were not made or authorized by employees outside of that one TMS Trinidad branch. The investigation of our other foreign operations resulted in no significant findings and management has remediated or is undertaking remedial action on all matters identified in the investigation. The FCPA and related statutes provide for potential monetary penalties, [inaudible], and interest as well as criminal and civil sanctions in connection with FCPA violations. It is possible that monetary penalties will be assessed or a settlement resulting in a monetary payment will be reached with the federal government in connection with this matter. However because the amount, if any, of any monetary penalty cannot reasonably be estimated at this time, we have not recorded any provision for monetary penalties. The total professional costs associated with the investigation are projected to be approximately $3 million, the bulk of which have been incurred through our third quarter. Now with respect to the Venezuelan currency devaluation, we operate a small service location in Punto Fijo, Venezuela who’s annual revenues have historically been less than 1% of Team’s consolidated revenues using the previously fixed exchange rate of 2.15 Bolivars per US dollar. Effective as of the beginning of this current quarter, Q3, in December of 2009 we began to account for Venezuela as a highly inflationary economy pursuant to some requirements of the SEC. Accordingly any currency fluctuations between the Bolivar and the US dollar after December of 2009 are now recorded in the company’s statement of operations. In January of 2010, the Venezuelan government announced a significant devaluation of the Bolivar and as a result we have recorded $2.1 million in foreign currency translation losses in the third quarter which is reflected as an element of other expense below the operating income line. And again both of these non-routine charges have been adjusted in the reconciliation table that’s included in our press release. Now with respect to our balance sheet and cash flows, capital expenditures was $1.6 million in the quarter and $5.5 million year to date. That’s down from $13.3 million in the first three quarters of last year. G&A was $3.2 million in the quarter and $9.2 million year to date, non-cash compensation costs was $1.2 million in the quarter and $3.9 million year to date. So total adjusted EBITDA was $7.1 million in the quarter, $30.9 million year to date, and trailing 12 months adjusted EBITDA is $45.1 million. Please note that adjusted EBITDA reflects the add back of both non-cash compensation expense and non-routine charges. We continue to be very pleased with our financial position during this difficult economic environment. Our net debt, that is total debt less cash, was $44 million at the end of the quarter, a reduction of $23 million since our May 31 year-end. In fact in the 15 months since the recession began for us, that is at the end of our Q2 of fiscal 2009, we have reduced our debt by more than half. So with that Phil, I’ll turn it back to you.
Phil Hawk : Thanks Ted, now I’d like to add several observations and comments to Ted’s remarks. I will begin with a look at third quarter activity and performance, and then follow-up with a look ahead to the remainder of this year as well as the next fiscal year 2011. We continue to work through a difficult market environment that now appears likely to recover later and more slowly than we originally expected. In my view the primary driver of this slower than expected recovery is the continuing poor economic environment for most of the customer segments we serve. While maintenance activity must and is taking place, many customers are maintaining a very tight minimalist approach where all or nearly all preferable activities are being pushed back. Current overall demand for our services continues to be below both historical levels and required steady state levels. As Ted indicated total revenues for the quarter were about even with the weak revenues for the comparable prior year quarter. As reported our TCM division volumes were actually up about 7% reflecting a modest increase in domestic project work as well as a significant Canadian heat-treating project. TMS division volumes were down approximately 8% reflecting continued weakness in turnaround work. I should point out that all is not doom and gloom. We did see some improvement in prior year comparisons as we progressed through the quarter. Just not at the rate that we had expected. Also we had some nice project work and good overall performance in several of our regions. Five of our 16 regions actually exceeded their plan and prior year performance for the quarter. As Ted indicated our profit performance in the seasonally difficult third quarter reflected a number of challenges. We estimate that about one percentage point of the gross margin decline reflects lower job margins due to lower pricing. The remainder of the difference is a combination of mix effects related to the lower relative TMS revenues. On the plus side our management and field labor expenses continues to be solid. Field labor utilization, a key measure of labor productivity, continues to run ahead of last year. Now let me shift the discussion to our outlook, as you may be aware about two weeks we revised our adjusted earnings guidance for the current fiscal year ending May 31, down to $0.80 to $0.90 per share. The primary driver of this revision is the reduced revenue outlook for the second half of the fiscal year that is now approximately equal to the revenues in the first half. The 10% uptick in second half volumes that we had anticipated as the basis of our previous earnings guidance is developing more slowly than we expected. Our view on ultimate market recovery remains unchanged. We continue to believe that we will not see significant net reductions in a number of plants operating in North America, and we see no indication that there are any new approaches to maintenance that will significantly change historical maintenance practices. Therefore we believe the market will recover to historical steady state maintenance demand levels. However based on our recent experience our posture now is that recovery will take place a little later and more gradually than we originally expected. Despite some unfavorable performance comparisons in this quarter we really don’t see a significant shift in our business model or profit potential. We continue to expect overall margin performance in the second half of the fiscal year to be similar to that achieved in the first half. This more conservative revenue outlook on the timing and rate of the market’s recovery implies that we will need to stay appropriately conservative in the management of our business. We are already doing that in many respects. We have already reduced SG&A about 10% from prior year levels and have maintained a strong focus on field labor utilization. And we continue to take opportunities to fine-tune our business and performance. This conservative business management posture is not forced upon us by financial weakness. As Ted indicated our balance sheet and financial flexibility are as strong as ever. Rather, it reflects our belief that Team can maintain attractive profit margins and profit performance in any business environment. Over the past decade our business has grown from $50 million in revenue to nearly $500 million and our EBIT profit margins exceeded 8% during nearly that entire period. We see no reason why we cannot perform at that margin level with the current business volumes and we are committed to doing so. Our conservative management posture also does not mean that we have lowered our long-term expectations for our business. Over the past decade Team has been a high growth company in a mature industry. Despite our historical growth our market penetration is still less than 20%. The long-term market fundamentals remain as attractive as ever. Our growth opportunities remain very exciting both in North America and in Europe. Now let me offer some initial perspective for the next fiscal year ending May 31, 2011. As mentioned earlier we think it is prudent to take a conservative posture toward the rate of market recovery. We will not expand our resources ahead of increased activity levels. Yet we also see many reasons to be cautiously optimistic about our revenue growth opportunities in the coming year. As time passes we believe the likelihood of overall industry maintenance spending returning to higher steady state levels increases. Also we have seen early indications that several major Canadian oil sands projects that were deferred one year ago are likely to be restarted. We are aware of early planning currently taking place on several previously deferred projects. Our work related to these projects could begin as early as this fall. Finally we continue to pursue a number of business development initiatives to expand our business and market share regardless of market conditions. Specific initiatives currently under way include, the launch of a full range of insert valve fittings which enables the installation of a new valve with a proprietary fitting using hot tap techniques. The initial sale installation of a newly designed [tig] launching system for pipelines that is significantly less expensive than traditional approaches. The introduction of enhanced wireless field heat-treating and induction heating systems with industry leading capabilities. The continued expansion of our advanced inspection services, and the implementation of new account management information tools and sales training across the company. While we are maintaining a conservative posture, we are still playing offence. I don’t have specific revenue and earnings guidance for fiscal year 2011 at this point in time. For the reasons outlined earlier we do expect revenue growth during the year and we expect significant operating leverage from any revenue growth that is achieved due to the fact that we are still operating well below current capacity levels. Before significant new investment in infrastructure and support cost is required total business activity levels will need to get back to the peak levels achieved in 2008. Let me end with a few final perspectives and comments, in the short run we are continuing to manage our way through a difficult market environment. I am pleased how our organization has adapted and responded to the market challenges. Yet we realize we still have opportunities to fine-tune our business and are continuing to address them Longer-term we continue to have outstanding growth opportunities. We are very proud of our historical growth record; 40 consecutive quarters of revenue growth and a 10-year compound annual growth rate of more than 20%. The drivers of this performance are clear and straightforward to me. Build and maintain a great organization and stay focused on the basics of the business. With regard to the former we are blessed to have an outstanding group of colleagues across our organization who we feel are the most skilled and best trained and who have the best support in our industry. As always we also intend to maintain a diligent focus on the basics of our business, providing great service with every service opportunity, continuing to capitalize on our service network advantages, managing the profitability of our business job by job, and balancing our resources with current activity levels. In our business, outstanding execution remains the key to success regardless of the market environment. That concludes my initial remarks, let’s now open it up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Matt Duncan – Stephens Inc.
Matt Duncan – Stephens Inc. : The first question I’ve got is with regard to your gross margins and I’m just curious is pricing getting any worse over the past six to 12 months or has it been sort of consistent over that time frame of 100 basis points below the year ago period.
Phil Hawk : I think its kind of hanging in there about the same. It varies by customer and job situation and circumstance, and therefore you have mix effecting the results on that. If I look at a kind of aggregate direct profit margin which is my best metric for that, our direct profit margins are maintaining approximately 100 basis point negative differential to the prior period, kind of pre recession if you will.
Matt Duncan – Stephens Inc. : And along that line, are you seeing more pricing pressure in some service lines than you are in others.
Phil Hawk : I’m not sure that its service line specific, I think we have, there’s different levels of intensity in different markets, customer circumstances and that, I think that’s a little more prevalent of just kind of posture of different customers and in some of the different segments.
Matt Duncan – Stephens Inc. : And then on the gross margin and I know this may be comparing apples and oranges a bit, but if I look at your gross margin in August, it was 29.2% and it was 27.4% in February with revenues about $3 million higher than they were in August, some of that may be explained by mix but if pricing is not getting any worse what else explains that 180 basis point gap in gross margin.
Phil Hawk : I think the two main things are, I think the two big items is just the holiday season so you have different, with basically the two week holiday period changes your indirect costs positions, over that holiday. Secondly, the restart cost of FUTA and SUTA which by the way because of the unemployment rates in the US are dramatically higher rates of FUTA, state and federal unemployment taxes restart beginning of the calendar year so we have that effect of that also affects gross margin in our indirect costs.
Operator: Your next question comes from the line of Richard Wesolowski – Sidoti & Company
Richard Wesolowski – Sidoti & Company: So along the same lines of the last question, your TCM margins over the last couple of years have been about flat, they’ve always been about 30% growth and all of the gross margin reduction has come from the TMS, so if the pricing pressure you face has been about equal for all the service lines, what would explain why TMS has come down and why TCM has been flat.
Phil Hawk : I think the impact of some of the turnaround activity has been more heavily weighted toward TMS activity because of their, have a relatively higher mix of turnaround activities so that if you look, you can see it in the volumes and the volume pressure and frankly based on a kind of a support infrastructure that’s a little bit higher because, so you have a little bit of a job margin, kind of support margins, that are a little bit higher support activities related to engineering, manufacturing, technical support activities so the impact of the volume declines are more telling and more I guess impactful to the gross margin level. But I will say I think it is a fair statement that and I think it reflects some of that volume decline that if you look at the, I don’t know that I say that its just because they’re picking on service lines in TMS but I think the job margins have been more effected in TMS than TCM although I think that’s just the sum of, is the consequence of other activities, not that there’s a trend that way.
Richard Wesolowski – Sidoti & Company: And then secondly have you seen any evidence since the recession started of a meaningful number of operating plants being shut down or consolidated to the point where it would deaden your potential market size when the economy gets back to normal.
Phil Hawk : Short answer is no, there have been some closures that are, and a couple of high profile mid sized refinery closures on the East Coast, but when you look at the impact of all of those on our business historically they’re really negligible and we just don’t see a significant, there’ll be some closures but they just won’t be meaningful in total.
Operator: Your next question comes from the line of Max Ferret - Tudor, Pickering
Max Ferret - Tudor, Pickering: First just on customer behavior have you started to get any indications from customers during the current turnaround season that maybe some of those discretionary items might get done in the fall.
Phil Hawk : I think its hard for me to make an estimate of when they might get done. I think just candidly my observation is and this may be a few weeks old is that most of our customer segments continue to see a margin environment, like today, our current margin environment that is as bad as it has been. And the evidence that I would point to is just the public announcement of Chevron a few weeks ago following at the beginning of this kind of downturn a year ago, they announced and implemented a 10% personnel reduction in their downstream operations which would be a very, very significant cut. They announced a few weeks ago they’re going to do it again and take another 10% out of their operation kind of in view of just the current margin and profit environment, their business environment they’re looking at. Others are not quite as aggressive as Chevron has been but I think that kind of tells you the tone they have with regard to cost management and their need for cost management in this environment. So, I think what we see is in the turnaround as they’re happening but the whole, the balance of, if you think about the things that are really important in a turnaround, one is schedule, get back up and running as quickly as you can. Secondly be able to run as hard as you can as long as you can by taking care of all the critical items and really anything else that could be in the way a few months down the road. And three, maintaining a budget and doing it efficiently. That’s probably historically the order of priority but more recently I think they’ve been, but certainly the maintain budget, or minimized budget that has become the top priority in those criteria and its reflected just in how discretionary items or [inaudible] are handled in these turnarounds.
Max Ferret - Tudor, Pickering: And then on Canada, it seems to be emerging as sort of the bright spot in the near-term, could you give us a little bit more color as far as the scope of work for 2011 and how much of that is firm and how much is potential.
Phil Hawk : I think its all potential at this point. What we are seeing again one year ago and I don’t have the precise estimates but I believe crude oil was about $40 a barrel a year ago. At that time all existing capital projects in the Canadian oil sands, the tar sands, were basically the existing ones were being wrapped up, all new ones or where the ground hadn’t been broken or just preliminary planning had been done were being kind of shut down or deferred. And that was the environment we had and we had very little project work really the second half of the year last year and that was a significant opportunity for us prior to that. What we are seeing now is there is probably four to five major expansion projects and new capacity projects in the oil sands areas that we know have, are in active planning. And we are kind of providing information to those projects and we would expect to participate in many of them as they go forward. We don’t think they’re doing it for practice so I think that activity level for us suggests they’re ramping up and certainly the economics of the, have improved markedly with today’s crude oil price environment. So we anticipate, we think its likely or probable that some or many of those projects will start and that we’ll participate. But precisely what services, how much, what quarter, I think that remains to be seen.
Operator: Your next question comes from the line of Marty Malloy – Johnson Rice
Marty Malloy – Johnson Rice : When you think about returning to a steady state in terms of maintenance spending versus fiscal year 2010 revenues would that result in kind of an 8% to 10% increase in revenues.
Phil Hawk : Yes, I would say that maybe, I would have said 10% to 15%, would be kind of the range but something in that order of magnitude, hard to estimate precisely.
Marty Malloy – Johnson Rice : And then could you talk about incrementals that you might see as customer spending would return to a steady state without adding resources as you discussed in your prepared comments.
Phil Hawk : You mean in terms of how much we could handle.
Marty Malloy – Johnson Rice : The incremental margins that you might achieve—
Phil Hawk : Operating leverage.
Marty Malloy – Johnson Rice : Yes.
Phil Hawk : I think I spoke at the last call that incremental operating margin in the 30% range as we stay within our current capacity and I’m still comfortable with that estimate.
Operator: Your next question comes from the line of Arnold Ursaner – CJS Securities
Arnold Ursaner – CJS Securities: First question relates to you mentioned utilization was above last year, can you give us your tech count and perhaps give us some feel for what the utilization was in the quarter.
Phil Hawk : Our total field count right there is 2900 people, that’s not just tech, that’s total field and that’s down 200 from the second quarter, some of that is the seasonality of the weaker third quarter. I’m going to give you utilization rate which is kind of billed hours to total paid hours are at TMS division running about 71% and in TCM which is a little more labor intensive business is running about 81%. And that would be hours charged to customers as a percentage of total field hours including all support groups, field based support groups.
Arnold Ursaner – CJS Securities: And for Q3 which is normally a very quiet period, how would that compare.
Phil Hawk : That is Q3.
Arnold Ursaner – CJS Securities: But Q3 is normally a seasonally quiet period.
Phil Hawk : Right, is it lower than, that’s four points lower than second quarter for TMS, its about four points lower in both divisions, but that’s just because you’re going to have higher, you obviously don’t, we don’t increase our support activity with seasonality.
Arnold Ursaner – CJS Securities: One of your key messages is that the recovery is later and more slow, can you speak to how the Q4 turnaround season bookings are going meaning typically at this point if anyone were planning a major turnaround they would probably have given you a strong indication, you’d be booking targeted numbers of people for certain amounts of time, how much of Q4 turnaround work is sort of in hand at the moment.
Phil Hawk : I think we’re going to have an active fourth quarter. A year ago we saw a significant number of turnarounds that were planned were cancelled or deferred, cancelled from that time period. I’m aware of only one that was cancelled this year, significant one, that was due to a mechanical issue not related to the environment. So we’re not seeing cancellations, what I think, what we’re seeing, and again we’re early in the period so we’ll see how it bears out on average, but what we’ve seen back to my comment to one of the earlier callers, that just the prioritization of, the priority of criteria and kind of how they’re managing turnarounds tends to be much more focused on kind of minimizing required cost expenditure rather than kind of maximizing plant improvements which I think historically has been on the balance. Its let’s fix it, if we have doubts or concerns about it, let’s fix it now so we can run hard, hard and long would be kind of the mindset and now its, if we don’t have to fix it, let’s wait and just do what we have to do to be prudent in the short run. So that whole tone and minimalization is what we’re seeing and that effects the volumes and work levels related to these turns. Its not that I’ve added up all the numbers and have a precise estimate, its just we’re concerned based on the tone we’ve seen to date that we’re not going to see the volumes that we had originally thought with these turnarounds.
Operator: Your next question comes from the line of Tahira Afzal – KeyBanc
Tahira Afzal – KeyBanc: I’ve got two questions, number one if you look at the shortfall in terms of expectations on the turnaround side are there any particular clients, group of clients, where you feel the shortfall has been more so for example has the [Exxons] and [BCs] perhaps when they lowered their work and scope last year maybe they feel that level is something they can maintain otherwise the level might have got more because [inaudible] financial distress and hence its having to spend more at this point or do you think its fairly even bucket.
Phil Hawk : I guess I’m going to answer the question as it’s a difficult question to answer because the actual turnaround activity is also highly dependent on the timing of just cycles, repair cycles for individual facilities. So kind of taking your scenario, are some companies kind of maintaining versus others cutting back to a more, greater or lesser degree, I suspect that is true, but its hard to see that because even companies that may be maintaining are being more similar to where they’ve been historically, the timing of major turnarounds just due to the, when the last ones were performed. Recall we don’t, there’s not major activities in every facility or every unit every year so, that kind of reflected in the numbers. So if I look at kind of our activity levels by customer and I’m not going to go into specific customers, we don’t share that level of detail, there’s high variability in, we’re up with many customers and we’re down with many customers but to me that’s not a function so much of their I guess cost management posture as it is reflects more significantly just the particular timing of the repair cycles for their respective facilities.
Tahira Afzal – KeyBanc: And the second question is you pointed out you’ve got a good balance sheet, a very strong balance sheet, even though you are seeing some near-term pressures obviously with the petro chemical side, and again the industrial side in the US showing fairly [inaudible] recovery, and your business being more maintenance oriented, obviously your business is going to start to come back as you progress through 2010, as you look to the strategic initiatives and you see some of your smaller [inaudible] perhaps being more distressed on the public and private side when would you feel comfortable stepping in, your internal [ship] is in order and perhaps you can now take a more aggressive stance.
Phil Hawk : That’s a fair question, would we consider, to paraphrase a little bit when would we consider I think you’re saying kind of acquisitions as a supplement or a component of our business approach and strategy and I think my answer to that is one we haven’t not considered it over the last 12 months because of the environment. I think we’ve continued to have the capacity to kind of add businesses that and add kind of, make purchases or acquisitions that support our growth and business development and we continue to feel that way. Again I think buying small competitors in areas we’re already operating I think as we’ve talked before doesn’t tend to have a lot of appeal to us because we don’t know what we’re really adding to our business by doing that. But competitors or companies that kind of, can accelerate our growth or get us access or capabilities in areas where we’re not present today or not present in a significant way, those continue to be interesting opportunities and ones that we continue to identify and look at. The problem with any acquisition is it requires consenting adults, they’re hard to find, and difficult to predict the timing of so we don’t estimate those or forecast those happening but we continue to be receptive to opportunities and view that as a way to supplement our organic development of our business. Having said all that the thing that I’m excited about our business and believe is so healthy is that we don’t need acquisitions to be a very, very successful company. They would just be accelerators or augmentations to what I think we can really control on our own domain.
Operator: Your final question is a follow-up from the line of Matt Duncan – Stephens Inc.
Matt Duncan – Stephens Inc. : I just want to look at Europe for a second, you bought [LRS] a little over two years ago and I know your long-term plan is to try and build the business over there to be as big as it is here, first of all I’m curious how the European business has performed over the past year relative to the business here in North America and then secondly can you talk a little bit about the plan for growing that business in Europe.
Phil Hawk : To your first question how has it performed, its actually done very well. I would contend that the European environment has been at least as bad as that in North America from a market environment. Yet our revenues are up in Europe, not a great amount, I think its about 12% year to date, something like that. Our margins are flat to improving there so we’re quite pleased with the business. We’re looking at and I didn’t speak to it because again back to when we have specific ideas that we’re implementing we’ll share those, but we’re pursuing a number of ideas that would both increase the service line breadth, the breadth of services we’re offering in our current market areas of focus, the Netherlands in Belgium, as well as expanding our geographic footprint in Europe. So, its kind of high on our list and getting a lot of attention right now.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Phil Hawk : With that let me just wrap up our conference call then, I want to just wrap up by thanking everyone for your participation in the call and continuing interest in Team and we look forward to our next conference call with you. In the meantime everyone have a good day.